Operator: Good morning, and welcome to the Chart Industries, Inc. 2024 Third Quarter Results Conference Call. All lines have been placed on mute to prevent background noise. After the speakers' remarks, there will be a question-and-answer session. The company's release and supplemental presentation were issued earlier this morning. If you have not received the release, you may access it by visiting Chart's website at www.chartindustries.com. A telephone replay of today's broadcast will be available approximately two hours following the conclusion of the call until Sunday, December 1, 2024. The replay information is contained in the company's press release. Before we begin, the company would like to remind you that statements made during this call that are not historical in fact are forward-looking statements. Please refer to the information regarding forward-looking statements and risk factors included in the company's earnings release and latest filings with the SEC. The company undertakes no obligation to update publicly or revise any forward-looking statement. I would now like to turn the conference over to Jill Evanko, Chart Industries CEO. Please go ahead.
Jill Evanko: Thank you, Joelle. Good morning, and thank you all for joining our third quarter 2024 earnings call. Joining me today is our CFO, Joe Brinkman. We will begin on Slide 4 of the supplemental deck that was released this morning. Results shown are from continuing operations. When referring to any comparative period, all metrics are pro forma for continuing operations of the combined business of Chart and Howden. Pro forma excludes the following businesses that were divested in 2023: Roots, American Fan, Cofimco, and Cryo Diffusion. In the third quarter of 2024, we generated $200.7 million of net cash from operating activities and, after $26 million of CapEx spend, had free cash flow of $174.6 million. This cash was used to reduce net debt and resulted in our September 30th net leverage ratio of 3.04x, meaningful progress to our net leverage ratio target of 2x to 2.5x as well as our 2025 year-end net-debt goal of $3 billion. In a few slides, we will discuss further balance sheet optimization plans. When compared to the third quarter 2023 pro forma, orders increased 5.4%, sales of $1.06 billion increased 22.4%, reported gross margin of 34.1% increased 350 basis points, reported operating income of $178.5 million was $235.9 million when adjusted for items primarily related to the Howden integration and headcount restructuring. As a percent of sales, adjusted operating margin was 22.2%. Adjusted EBITDA of $260.7 million was 24.5% of sales. Our adjusted EPS was $2.18, which would have been $2.48, absent a $0.15 negative EPS impact related to foreign exchange in the quarter and the delta of our Q3 tax rate of 26.5% to our originally assumed 20% rate, which was another negative $0.15 impact. The tax rate was impacted by our geographic profit mix. Year-to-date, through September 30th, sales increased 19.6% when compared to year-to-date September 30th, '23 pro-forma, and operating margin increased year-to-date by 510 basis points. Year-to-date through September 30th, all segment sales grew compared to year-to-date Q3 '23, all segments gross margin increased and all segments SG&A as a percent of sales declined, reflecting operational improvements as well as earlier-than-anticipated cost synergy achievement. In the third quarter, we surpassed our original year three, which was 2026, target of $250 million of annualized cost synergies. Slide 5 is a summary of the third quarter compared to Q3 '23, and we will cover each of these in the coming few slides. So, moving to Slide 6. Our third quarter orders of $1.17 billion grew 5.4% compared to Q3 '23. You can see some specific order examples booked in Q3 on the page, including a variety from traditional energy to hydrogen to marine to LNG. Siemens Energy ordered multiple air-cooled heat exchangers for a variety of energy projects, including Cass County Power Station and Turtle Creek. HD Hyundai Heavy Industries placed orders for exhaust gas recirculation or EGRs for marine ship engines. IGAT, part of SIAD Group, placed an order for a diaphragm compressor for their green hydrogen plant in Italy. We received an order from ThyssenKrupp for process fans to be installed in a new cement line at the Mountain Cement plant in Wyoming in USA. And axial and jet fan contracts were awarded to us by Spark NEL for the North East Link tunnels in Australia. We currently have over $23 billion in our commercial pipeline of opportunities. Each quarter this year, we had approximately 39% of our installed base of covered sites placing aftermarket orders with us. That is good traction, yet we have room for more coverage, especially as much of the concentration is still primarily related to Howden legacy. We recently released enhancements to our customer aftermarket online digital portal, including customer outage timing, additional capabilities for part configurations and an updated tank sizing application. We also have customers that have committed work to us that are not yet in backlog, totaling $1.95 billion of commitments. A few examples of these include for LNG, ExxonMobil as we released a few weeks ago. On behalf of Mozambique Rovuma Venture, the operator of the Area 4 concession in northern Mozambique's Rovuma Basin announced its decision to select our IPSMR liquefaction technology and equipment for the Rovuma LNG project. And since that announcement, Viability Gap Plc., N Gas Tanzania Ltd., and Tanzania Petroleum Development Corporation have chosen to partner with us to utilize our IPSMR process and associated equipment for their small-scale LNG project. And for hydrogen, Renergy Group Partners LLC has chosen to partner on their green hydrogen plant in Egypt, which is anticipated to produce 450,000 tons of hydrogen per year. We also executed a collaboration agreement to work with PETROJET, Egypt's largest state-owned construction company, to advance hydrogen projects across Egypt. Nuclear is gaining traction. We serve the nuclear space with our fan offering for traditional nuclear facilities as well as supporting SMR technologies with our gas circulators, fans, turbines, and air coolers. To start October, we received nuclear orders from both EDF and Axima. Moving to Slide 7. Our third quarter 2024 had sales of $1.06 billion, an increase of 22.4% compared to Q3 '23 and an increase sequentially of 2% when compared to the second quarter of 2024. This is the first time in our history that sales sequentially increased from the second to the third quarter, reflecting continued efforts for throughput improvements, LNG project activity and specialty products projects moving to construction phases. Three of our four segments had record sales in the third quarter. We had a busy Q3 with many weather events, yet continue to focus on deliveries and other continuous improvement actions. While we did have early-in-the-quarter impacts from Hurricane Beryl in our Texas shops, we were able to recover that within Q3. Our shops fared well through Hurricane Helene with only a few days' disruption from power outages, yet we still have more opportunity to improve throughput and have more continuous improvement efforts to take hold ahead. Some examples underway include: Kaizen events globally using our Chart Business Excellence, or CBE tools; optimizing assembly locations in our facilities, such as moving kettle work to Allentown, Pennsylvania to increase other activities at our New Iberia, Louisiana shop; similarly, we are putting skid work in locations with larger and more capacity. Another example is an addition of two testing stations in our air-cooler manufacturing facilities. And these are just a few examples as we believe we have more throughput improvement opportunities ahead of us. The middle of Slide 7 shows adjusted operating income of $236 million, an increase of 53% when compared to Q3 '23. All four segments reported operating income and margin increased compared to Q3 '23. This resulted in adjusted EBITDA of $260.7 million, which does not include adjusting for negative foreign exchange headwinds of $9.3 million in the quarter. On Slide 8, you can see the increases in gross profit margin, reported and adjusted operating margins, and EBITDA margins. All four segments had increases in gross, operating and EBITDA margin when compared to the third quarter of 2023. Segment-specific information is shown on Slide 9. Starting with Cryo Tank Solutions, or CTS. Third quarter 2024 CTS orders of $126.2 million decreased 17.5% when compared to the third quarter of 2023, primarily driven by the third quarter of '23 having had one order for over $19 million for railcars, which did not repeat. In the third quarter '24, we did see slowing demand in China, in particular, in industrial gas, which is primarily reflected in CTS. Sequentially compared to Q2 2024, CTS orders were down 20.6% as the second quarter had a large LNG regas skid order for over $20 million and also we saw the slowing demand in China in the third quarter. Third quarter 2024 CTS sales of $162.5 million increased 4.6% when compared to the third quarter of 2023. Sequentially compared to Q2 '24, CTS sales were down approximately $3 million. Reported gross profit margin of 25% in CTS increased 280 basis points compared to the third quarter of 2023 and 480 basis points sequentially, driven primarily by project mix and operational improvements. CTS margins are typically in the low-to-mid 20%s. Now, moving to Heat Transfer Systems, or HTS. Before I start on Q3 specifics, I want to take a moment to discuss the LNG market and growing adoption of our modular IPSMR technology. We already discussed Exxon's Mozambique's utilization of IPSMR and wanted to share that recently, two additional projects have shared with us their decision to use IPSMR for their LNG liquefaction facilities. Interest in IPSMR continues to grow as it is an accepted and validated solution for many projects. So, back to the third quarter, HTS orders of $424.7 million increased 151% when compared to Q3 '23, driven by multiple and various LNG and traditional energy equipment awards. These also contributed to a sequential increase of over 50% compared to the second quarter of 2024. Third quarter 2024 HTS sales of $256.2 million were a record as we execute on LNG and other project backlog. Q3 '24 sales increased 12.5% compared to Q3 '23. Sequentially, compared to the second quarter of this year, HTS sales increased 8.2% as we continue to execute on delivering our backlog and work on further throughput improvements in our shops. HTS Q3 gross profit margin was 29.8%, an increase of 340 basis points compared to Q3 '23, driven primarily by project mix. Sequentially compared to the second quarter of this year, HTS gross margin improved based on higher volumes, project mix and operational improvements. We anticipate HTS gross margin to be in the mid-to-high 20%s consistently going forward. Moving to Specialty Products. Third quarter 2024 Specialty Products orders were $237.8 million and decreased approximately 49% when compared to the third quarter of 2023 as the third quarter of 2023 included larger hydrogen-related orders. Larger project timing for orders can vary between quarters, in particular in Specialty Products and HTS. We received customer commitments on certain projects that we did not book in Q3 given timing of paperwork and for one project timing of their FID. We anticipate that we will receive orders for approximately two more larger specialty projects in the fourth quarter of 2024, one in hydrogen and one in mining, which already has been verbally awarded and terms and conditions are underway. Sequentially compared to Q2 2024, specialty orders declined 44%, driven by the second quarter's record orders in carbon capture, metals, mining, water treatment, and strong globally diverse hydrogen and helium awards. Third quarter 2024 Specialty Products sales of $283 million were a record for the segment and increased 25.9% when compared to the third quarter of 2023, driven primarily by increasing throughput and progress on specialty projects within the quarter. Sequentially, compared to the second quarter of '24, specialty sales increased 2%. Reported gross profit margin of approximately 26% increased 60 basis points compared to Q3 of last year, yet decreased sequentially when compared to the second quarter of 2024. The sequential decrease was due to the third quarter 2024 expenses incurred at our newly opened Teddy2 facility in Theodore, Alabama, and that was related to a supplier's machinery startup challenges at our site and therefore, associated inefficiencies on specific space exploration-related projects, which we do not anticipate repeating ahead. And finally, for the Repair, Service and Leasing segment, or RSL, third quarter '24 RSL orders of $377.9 million increased 16.5% when compared to the third quarter of 2023, driven in part by a larger aftermarket sale of equipment. Sequentially, compared to Q2, orders grew 21% or about $65 million, driven primarily by our Q3 $10.5 million order for Power Africa power station spares and the larger RSL equipment sale. Third quarter 2024 RSL sales of $360.5 million increased 36% versus Q3 of '23. Sequentially, Q3 sales were flat to Q2 '24, which had large field service work and also reflects typical summer timing being slower in field service outages. Reported RSL gross profit margin of 47% was driven by the larger-than-typical aftermarket equipment sales. Sequentially to the second quarter of 2024, RSL gross margin declined from 49%, which was unusually high and driven by the large field service work in Q2. Now, Joe will discuss cash, balance sheet, and our '24 and '25 outlooks.
Joe Brinkman: Third quarter 2024 reported net cash from operating activities of $200.7 million, plus capital expenditures of $26.1 million, resulted in $174.6 million of free cash flow. Our September 30, 2024 net leverage ratio was 3.04x, as shown on Slide 10. We reiterate our financial policy that until we are in our target net leverage ratio range of 2 times to 2.5 times, we will not do any share repurchases or material cash acquisitions. The strength in Q3 cash reflects our ongoing cash culture efforts, Chart business excellence, coordinance -- coordination of milestone billing and increasing operational throughput. As we have previously indicated, we are coming off a period of heavy CapEx spend for capacity. Our CapEx spend is now normalizing and we expect normalized CapEx to be between 2% and 2.5% of sales. Net working capital defined as accounts receivable, inventory, accounts payable, unbilled contract revenue, customer advances, and billings in excess as a percent of trailing 12-month sales improved to 16%. As a reminder, we had our semi-annual unsecured interest payment of $79 million in the third quarter that will not repeat in the fourth quarter. Additionally, the fourth quarter has multiple milestones scheduled for collection and tax is typically a tailwind to free cash flow in Q4. We continue to look to optimize our capital structure. We anticipate our 2017 seven-year convertible note to settle at maturity in November 2024 with a principal of approximately $259 million paid in cash and the premium settled with equity. Note that the share count will change upon settlement, which is contemplated in our outlook. Moving to Slide 11. Our full year 2024 sales outlook is approximately $4.2 billion to $4.3 billion with anticipated full year 2024 adjusted EBITDA of approximately $1.015 billion to $1.045 billion. This reflects a year-over-year 18% to 21% sales growth range, which as Jill described in her comments, reflects our year-to-date sales growth and margin progress. The sales growth at the lower end of the range is based on our confidence in what we have been able to consistently achieve year-to-date and backlog coverage. Achieving the higher end of the range will depend on larger project timing and further operational throughput actions already underway, which will continue into 2025. Our associated anticipated full year 2024 adjusted diluted EPS is anticipated to be approximately $9 based on an anticipated tax rate of approximately 22%. Free cash flow is anticipated to be approximately $400 million. Our 2025 sales are anticipated to be in the range of $4.65 billion to $4.85 billion, and anticipated adjusted EBITDA between $1.175 billion and $1.225 billion. We have strong backlog coverage for 2025 and also have line of sight to additional larger orders that we anticipate closing in the coming months. We anticipate our 2025 adjusted diluted EPS to be approximately $12 to $13 on a tax rate of approximately 22%. Additionally, we anticipate ending 2025 with approximately $3 billion of net debt based on full year 2025 free cash flow generation of approximately $550 million to $600 million. We look forward to sharing additional details of our 2025 outlook at our Investor Day on November 12th. Joelle, please open it up for Q&A.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Eric Stine with Craig-Hallum. Your line is now open.
Eric Stine: Hi, Jill and, Joe.
Jill Evanko: Hey, Eric.
Joe Brinkman: Hey, Eric.
Eric Stine: Good morning. So, I guess on 2025 guidance, I know that it's kind of been an ongoing focus of yours to try to better incorporate the project -- more project-based nature of your business. So could you go into the thought process? Joe, I know you just talked a little bit about the backlog coverage, line of sight to new orders, but maybe thought process on did you haircut this guidance? What gets you to the high -- the low end and the high end, that would be very helpful.
Jill Evanko: Yeah. Joe, feel free to chime in on this one. What I would say, Eric, is that we have really worked to incorporate our learnings from the movements that we have and things we've talked about throughout 2024, and that's reflected in our 2025 outlook. And that's something that we feel very confident in this outlook given the backlog coverage that we have, Joe, what you referred to as the stronger-than-typical backlog coverage, which we've got about 61% of our 9/30 backlog that's going to get -- that is scheduled to convert in the next 12 months. So, we feel that we've kind of gotten through this evolution of getting to the point of incorporating all of the learnings that we've had over the last few quarters into our 2025 construct, which was our goal to do, and feel good about being down the fairway on that. In terms of the higher end of that range, which is approximately 12% growth off of the higher end of '24's range is around more conversion of the backlog that we currently have. And also, we do see movement of new orders that come in and we have good line of sight to the next few months of some of the larger orders that if something does move and a new order comes in, that can be offsetting to get to the higher end. But that was our thought process, Eric, around incorporating everything that we've learned when we have to move things between quarters just simply because we become a much longer-cycle company.
Joe Brinkman: Yeah. Nothing really significant to add to that, Eric, just like Jill said, understanding the things that can make things -- revenue move between quarters and incorporating that into our approach as we forecast moving forward.
Eric Stine: Okay. And when you talk about new potential orders that come in, I mean, I would assume if those are LNG orders, then those would have to be early in the year and that would probably at best have a late impact in the year. I mean, is that how we should think about it that this would be more skewed to some of the other segments in terms of those order opportunities impacting '25?
Joe Brinkman: Yeah. No, that's the right way to think about it, Eric.
Eric Stine: Okay. All right. Thank you.
Jill Evanko: Thanks, Eric.
Operator: Your next question comes from Marc Bianchi with TD Cowen. Your line is now open.
Marc Bianchi: Hi, thanks. I wanted to start with the order outlook. Jill, you talked about a $23 billion pipeline, nearly $2 billion of commitments that are not in backlog. And if we look at third quarter, you had this really good HTS performance, but there was some weakness in specialty, so maybe just talk to us about -- put that $23 billion and $2 billion of commitments in context for us, where was that recently? And how has that changed? And then, how are you thinking about the order progression in 4Q and into early '25?
Jill Evanko: Yeah. Thanks, Marc, and good morning. What I would say is, across the majority of our end markets with the exception of China, we continue to see good demand and a very strong pipeline. Things like the acceptance of IPSMR internationally with Rovuma -- the Exxon Rovuma LNG project have added to that pipeline recently. So, the more that our technologies and solutions get out in the field, the more that pipeline seems to grow. When I look at the nearly $2 billion of commitments, about $1.5 billion of that is HTS and the other $0.5 billion or $450 million is specialty -- is entirely specialty. Since the $1.5 billion of HTS related that we had talked about previously, we've added a few small-scale into that number. The other opportunity that has been increasing for us is around data centers. And so we did have our second quarter data center order that we talked about on air-cooled heat exchangers. And as we started October, we got another order for air coolers related to data centers. So that's another contributor to -- into that $23 billion of pipeline. That's not included in the $1.95 billion of commitments that we referred to that are not yet booked. In terms of specialty weakness, what I look at is structurally -- is there weakness structurally in these end-markets or in our offering for them or is it really just timing? And what I would say around specialty in the third quarter is it really, truly was just timing. And with the mining orders, that one that we have verbally been awarded and we're just working on Ts and Cs with the customer right now, that's over $40 million as an example. We have a few -- a handful of potential in the hydrogen space that are in the $20 million to $35 million range. So, these are orders and FIDs and financings that sometimes take a little more time than what we had originally thought. And a couple of those in that $1.95 billion on the specialty side were -- it could have been bookable in terms of our policy, but we did not feel comfortable that they were at the point of completing their financing far enough along in that to put them into our backlog. So overall, the only area of kind of what I would say structural concern in end markets right now is just China Industrial Gas.
Marc Bianchi: Okay. And would you anticipate that fourth quarter book-to-bill could be greater than 1?
Jill Evanko: Yes, 1 or greater is our outlook.
Marc Bianchi: Okay, great. Thanks, Jill. I'll turn it back.
Jill Evanko: Thanks, Marc.
Operator: Your next question comes from Ben Nolan with Stifel. Your line is now open.
Ben Nolan: I appreciate it. Thanks. I wish there was only one. So I'll start with this one or I guess I'll end with this one too. As you think about the fourth quarter, just there is normally an uplift in the fourth quarter. I think in guidance, you're calling for roughly a, I think, $150 million of incremental sales. Can you maybe talk through, maybe segment-by-segment how that plays out? Like, where are you expecting the uplift in 4Q to reach your updated guidance?
Jill Evanko: Yeah. So if you look at 4Q sequentially, Q3 to Q4, historically, we'll do between 10% and 15% on average of an increase and then year-over-year really varies. If you looked at our year-over-year for Q4 of this year, the lower end is a little bit lower as a percent than what we have been doing in the last few quarters and the high end is pretty consistent with what we've been doing in the last few quarters. When you look at the segments themselves, we're continuing to see strength and throughput in HTS, Specialty and RSL, and CTS, I would just say is consistent. So that's the way to think about that on a relative basis of growth sequentially. And maybe one other quick add here on RSL is that we did have larger field service work in the second quarter and we had a larger-than-typical equipment sale in the third quarter in RSL. So, those were pretty strong quarters in that respect. And as we head into Q1, right, in 2025, Q1 is always our lowest quarter of the year, and we don't anticipate anything different for 2025 in that respect.
Ben Nolan: Got it. Okay. I appreciate it. And if I could sneak in just a super-fast, I think Joe, you said 16% was the unbilled revenue as a percentage of sales. What should that be on a normalized basis?
Jill Evanko: That was working -- how we define working capital as a percent of sales, which is the aggregate of accounts receivable, inventory, AP, unbilled, customer advances. And so that 16% is as a percent of annualized -- of an annualized sales number. Yeah, we will share some more details on the specificity around what we expect that to be at our November 12th Capital Markets Day. But yeah, I think you've seen us perform in that particular metric in the low 20% to the high-teens is kind of the range that it's been in the combined business last 18 months.
Ben Nolan: Okay. I appreciate it. Thank you.
Jill Evanko: Thanks, Ben.
Operator: Your next question comes from Martin Malloy with Johnson Rice. Your line is now open.
Martin Malloy: Good morning.
Jill Evanko: Hi, Martin.
Martin Malloy: Hey. RSL putting up another good quarter here. Just from a high level, can you maybe talk about where you are in terms of putting equipment onto maintenance service contracts or your digital offering, kind of the runway here for growth in that segment, how you look at it when you look out two or three years?
Jill Evanko: Yeah. Thanks, Marty, for recognizing that. We're very pleased with the aftermarket side of the business. The last few quarters have been 34% to 35% of our total revenue in RSL in the segment with strong performing gross margins. We just don't want people to get too far out over their skis on that RSL gross margin number. We have meaningful ways to go in penetrating the installed base and penetrating the digital uptake offering from our digital uptime offering. We still are primarily concentrated in Howden legacy assets. And so the tool kits being taken across the Chart -- the Chart legacy assets, that just takes some time to integrate the various different digital offerings with that. But what I would say is early innings on this. So we have good ways to go. But on LTSAs and framework agreements, we have seen positive growth in terms of the number -- the numbers of LTSAs and framework agreements year-to-date in 2024 and we saw the same in 2023. So we're getting traction there. But what I would really like to see is a higher than 39%, 40% uptake that we currently have on customers with an installed base that are buying something aftermarket each quarter. So that to me, that's a positive. To me, it's a positive because there's more to go in this aftermarket side of the business and I'm very excited to see what we can do there.
Martin Malloy: Great. Thank you. I'll turn it back.
Jill Evanko: Thanks, Marty.
Operator: Your next question comes from Pavel Molchanov with Raymond James. Your line is now open.
Pavel Molchanov: Yeah, thanks for taking the question. So based on the updated guidance, the trajectory of revenue recognition in 2024 is pretty balanced, almost 50-50. Do you expect next year to be more back-end weighted or less back-end weighted?
Jill Evanko: So we would expect that Q1 is -- I feel like I beat this drum, but I think it's really important that we have -- we've always seen Q1 be the lowest quarter of our financial metric year. But I do think that you'll see a little more balance in 2025, just given the backlog coverage that we have, especially on the new build side of things. RSL is typically pretty balanced with the exception of Q3 tends to -- ex the larger equipment sale order that we had this time, tends to be a little slower because of summer outages. But we have a real strong line-of-sight on the new build project solutions. But I do want to stress that Q1 is always seasonally our lowest quarter, but less of a ramp into Q4 than what we've seen historically.
Pavel Molchanov: And given that we are four days away from the US election, I have to ask, is there a certain amount of revenue in 2025 that hypothetically could be at risk if the hydrogen or carbon capture policies in Washington were to change?
Jill Evanko: The short answer Pavel is no, but I appreciate the topical question given how close we are to the election and kind of the various different pieces and parts dependent on party. We're very well-positioned regardless of the outcomes just given the fact that our equipment and solutions go into so many different molecules. So -- but what I would say is we did think about not adding what could be pent-up demand into our '25 outlook. So there may be potential for a little upside, but we did not contemplate that in what we've put out here. But no, we don't believe that there's risk-based on either outcome to the election to our '25.
Pavel Molchanov: Appreciate it.
Jill Evanko: Thanks a lot.
Operator: Your next question comes from Manav Gupta with UBS. Your line is now open.
Manav Gupta: Good morning. It was great to see the deleveraging process restart strongly. My quick question here is, you highlighted some parts in the opening comments, let's say we have a big uptick in the nuclear cycle driven by power demand, can you help us understand the ways in which GTLS wins from that? Thank you.
Jill Evanko: Thank you, Manav. Thank you also for the comment about deleveraging. We're very, very focused on that and we'll continue to be. When you look at nuclear, it's definitely become more active, I would say, in our commercial pipeline. It's not something that we're serving new. It's something we always have. It's just a matter of how much interest there is, there has been and we're definitely seeing an increase there. There's multiple different ways that we play with nuclear. We do serve the traditional utility companies with our CTS applications, so with tanks related to that. We serve general nuclear space across the board with fans. And now we have the ability to support SMR technologies with gas circulators and air coolers in addition to the fans. And that's, I would say, the fans and the tanks are primarily what we have seen to date. And also, recently a little bit more of an uptick in spares and aftermarket for nuclear. Now what we're seeing is the smaller SMR companies coming forward with various different technologies and that's what we're quoting on right now. So it's a small percent of our total currently, but if this does become a bigger part of the energy transition for lack of a better description, we're very well-positioned to play with equipment. We do not have process technology for nuclear.
Manav Gupta: Thank you. I'll turn it over.
Operator: Your next question comes from Rob Brown with Lake Street Capital. Your line is now open.
Rob Brown: Good morning, Jill.
Jill Evanko: Hey, good morning, Rob.
Rob Brown: I just wanted to clarify kind of the Specialty segment gross margins. You think you can get -- I know they were sort of one-time stuff in the quarter, but where do you think that can be as you ramp that business?
Jill Evanko: Yeah. I mean, I was disappointed in the third quarter, but at least we can pinpoint to what caused it. Where we see this is in the 30-plus, low-30s is where kind of in the near-term type of timeframe, however, you define near-term, but I would say in the next sort of five quarters type of timeframe, it should be running in that level. We'll also see a little bit of benefit from the more throughput that we get on specialty just naturally by design. But more than anything, it's getting out of startup inefficiencies and this particular one was unfortunately outside of our control, but it was fact and it was a drag on our margin in Q3 in Specialty.
Rob Brown: Okay. Thank you. I'll turn it over.
Jill Evanko: Thanks, Rob.
Operator: Your next question comes from Craig Shere with Tuohy Brothers. Your line is now open.
Craig Shere: Hi, thanks for taking the question. I want to dig a little bit more into Manav's nuclear question and your comments around SMR. So a couple of things. One, that most recently, there's been a couple well-advertised TRISO SMR data center opportunities that were announced. Obviously, this is going into the early 2030s. But wanted to, one, get a sense if the type of reactor technology has an impact on your ability to ultimately service gas circulators, fans and such. And then another thing that's come up is relating to data centers is that they use a lot of water and you're in the water business. And so just wondering if this whole broader economic driver has a multi-segment opportunity set for you.
Jill Evanko: Yeah. Thank you, Craig. And commercially, I think this is a great example of how we haven't had to go do something different from our traditional equipment and products that we have and serving new types of growing end-markets or more nascent type of end-markets. So, let me peel this back just kind of from -- starting from nuclear. We serve -- we can serve traditional and new SMR technologies and opportunities. We recently have had some activity with X-energy, which I think is a name that many people are tying to the space and also seeing, I would say, an increase in the commercial pipeline, in particular in Europe around nuclear opportunities with various different SMR technologies. So again, that really is the core offering that we serve into those and it's primarily the Howden offering that came into the portfolio. When we look at the water and the data center opportunity, this is pretty broad. So maybe start with the data center piece. We've talked about air coolers for the data center market and it's not only around water, but also around heat rejection where there isn't necessarily access to water. But on the water treatment side, absolutely -- I mean, I think there's -- the way to think about water treatment is there's so many secular tailwinds for water treatment that can benefit what we serve because we hit all of the contaminants that this could be a great opportunity ahead. I would caveat that answer with we haven't seen a ton of that linkage yet, but I think it's early days on how the hyperscalers and other data center providers are thinking about their locations, in particular and their size and their scale. Again, feel very well-positioned without having to change our manufacturing lines or processes to achieve that. And we'll share more end-market specifics about how we play both in the new-build and some of these end-markets that we're discussing right now as well as in aftermarket at the November 12th Capital Markets Day.
Craig Shere: Thank you.
Operator: Your next question comes from Walt Liptak with Seaport Research. Your line is now open.
Walt Liptak: Hi, thanks. Good morning, everyone. Jill, I wanted to ask, you guys made a comment on free cash flow, about the cash culture and I know you guys have been focused on cash flow for a while, but was there a change? What does that mean? And then as a follow-up, there's some special cash flow actions, I guess that you're taking in the fourth quarter. I wonder if you can quantify those. And then, in the 2025 cash flow, are there any special kind of one-time actions?
Jill Evanko: Yeah, thank you, Walt. So, we're pleased to see the activities that we've had underway through the integration start to actually show up in the cash results here in the third quarter. But what I would say is that the cash culture what we describe it is kind of like we described Chart Business Excellence. It's embedded in the organization. It's something that we've had a concerted effort to make, be sustainable and have multiple different elements of our organization working together. So whether it's the project management team linking to the commercial team, linking to the operational team to ensure that the milestones are proper in the contract or make sure that the milestones are being hit by the operations team or the engineering team, making sure that the milestones are being built on time. Some of those things probably sound fairly basic, but they are the types of efforts that we have had underway in cash culture. We've also incorporated into the organization, you treat the organization's money as if it were your own and focus on areas that each and every one of you can impact, whether that's traditional trade working capital or areas that, to your point, you can find other ways to generate cash. I do think the other piece that BR mentioned in his remarks was around normalizing CapEx is an important factor as we head into 2025. We really came off of a period of heavy spend and we feel like we have good capacity in place. And so now CapEx is going to be more in that 2% to 2.5% of sales. The second piece of your question was around other things that we're doing to generate cash. And we had talked, I think a month or so ago or maybe six weeks or so ago about there's other non-operational actions that we are working on and we kind of are constantly looking at the portfolio to see what those might look like. And we have a small potential product-line divestiture that we're working on. It's more opportunistic and we would want to get the right price for that if we were to do it. We've got some cash repatriation actions. So, if you look at the balance sheet, we do have a cash balance sitting there. And so, Brinkman is working on that. You'll have some of that back in Q4.
Joe Brinkman: Yeah, we will be pulling back some cash from more restricted countries in Q4 and use that for debt paydown.
Jill Evanko: So, those are just a few examples of what you're describing. And -- but again, I think the real takeaway here is our goal of cash culture has been to make it sustainable and not have to rely on any non-operational to hit the target net leverage ratio range. And we're pleased to see the traction starting to take hold in -- for the first time here in the third quarter.
Walt Liptak: Okay, great. Are those non-operational things in the 2024, 2025 free-cash-flow guidance?
Jill Evanko: They are not.
Walt Liptak: Okay, great. Okay. Thank you.
Joe Brinkman: Thanks, Walk.
Operator: Your next question comes from Alexa Patrick with Goldman Sachs. Your line is now open.
Alexa Patrick: Hey, good morning, team. On the hydrogen side, you announced an MOU for a 30-ton-per-day liquefier. Can you talk a little more about the demand in the market today? And then is 30-ton-per-day becoming more common or is 15 still what you're seeing? Any conversations around that outlook would be really helpful. Thank you.
Jill Evanko: Thanks for the question, Alexa. What I would say on the liquefaction side is we're seeing more and more that are looking to go larger. And these are companies, not just the ones that we're looking at 30 tons per day, there are companies that are fully strong balance sheets that you'd be familiar with that are looking at 100-ton-per-day style. None of those are in backlog and none of those are anticipated in our order book here in the next -- even in '25 because it takes a little bit of development time. But the concept in the market is to go larger, get more scale, be more interconnected to not have these hub and spokes regionally, but actually have a true hydrogen infrastructure from production to end use. Still early days on that, but that's what we're seeing in terms of the direction that the market is going. And the other thing I would say we're seeing in terms of linking to that is around the storage transport and end-use aspect of these, more companies getting involved in that and trying to bring more than just California as an example and United States into the mix. Canada has been very strong in terms of support for hydrogen, whether that's through CIB or their other funding efforts. And I think you'll see Canada actually be one of the leaders in hydrogen infrastructure development.
Alexa Patrick: Okay. That's very helpful. And then just sticking with Specialty Products, you guys -- can you talk a little bit more about the mining project award expected in 4Q? Anything around the size of the award or any color you can provide on that?
Jill Evanko: Yeah. It's approximately $40 million. It's for a project that is an international project, a non-US project, and it would be primarily a Howden Legacy Equipment.
Alexa Patrick: Okay, that's helpful. I'll turn it over. Thank you all.
Jill Evanko: Thanks, Alexa.
Operator: Your next question comes from Sherif Elmaghrabi with BTIG. Your line is now open.
Sherif Elmaghrabi: Hi, thanks for taking my question. I really want to piggyback on that last one about hydrogen. Is there an upper limit to what hydrogen liquefaction tech can do in terms of capacity? Like we talked about 30 tons per day, but you raised the point that, for example, what hydrogen could do could be 10 times that size in the back half of the decade. And can you speak to the medium-term trajectory for Specialty margins as we see more hydrogen liquefaction, compression, storage comprised more of specialties mix? Thank you.
Jill Evanko: Thanks, Sherif. Thanks for the questions. So technically, there is no upper limit to what we can do. We're actually working with a partner that's not somebody we've named that is looking at a 300-ton per day as an example in the medium-term, so in the late, latter part of this decade. And we're certainly capable to do it. It does require a different type of development in the engineering arena, but it's all based off of our current technology. So it's around scale, it's around can you get the efficiencies. We've done a lot of work around like what is most efficient in the current state is at a 60- or 70-ton per day. So, there's many factors that go into it, but there's not a limit to how we can scale. It's just a matter of what the customer is looking for. And right now, what I would say, the Egypt one we talked about is by far the largest we've seen, the potentially largest we've seen and follow behind that is this other partner that we haven't disclosed who they are, but is about a 300-ton per day. Obviously, both of those are -- well, not obviously, the one is international, the other is also international. When we look at the medium-term trajectory for specialty, there's elements of specialty that are a little more mature than others. And if I pick the mature elements, those would be like in the category of mining. We're very well-positioned currently. The mining customers are pretty consistent in what they do and we see their behavior being consistent, whereas there's other aspects of specialty that we think later in the decade, which we consider medium-term really takes further hold in terms of growth and that would be around the hydrogen side, the water side, and the carbon capture side. So the -- whether it's our forecast or someone else's from a macro perspective, the later part of this decade is anticipated to accelerate further. And so we would expect specialty to continue to have a strong growth trajectory in the medium term for all the reasons that we've talked about.
Sherif Elmaghrabi: Thanks you. That's great color. I'll turn it over.
Sherif Elmaghrabi: Thanks, Sherif. Appreciate it.
Operator: Your next question comes from Saurabh Pant with Bank of America. Your line is now open.
Saurabh Pant: Hi, good morning, Jill and Joe.
Jill Evanko: Good morning, Sohrab.
Joe Brinkman: Good morning.
Saurabh Pant: Hey, Jill. Maybe I wanted to go back and touch a little bit on the fact that post-Howden, you continue to become more and more project-oriented versus more individual product-oriented. And obviously that has impact on cash, milestone payment, timing of free cash flow, and all of those things. But can you maybe talk to how you are managing that transition internally from a project management standpoint, your organizational setup standpoint, anything that you're doing internally to just position the organization to better handle projects going forward?
Jill Evanko: Sure. And I'd also just point out that post-Howden, we also have 30% to 35% of our revenue in aftermarket, whereas before we had about 13% to 14%, right? So just to be clear, the new-build solution set is less as a percent of our total revenue. But with that said, the -- many of the actions around the cash culture, but structurally what we have done is we've set a One Chart Global Commercial team, a One Chart Global Engineering team and a One Chart Global Project Management team. And those groups work together with the regional operations that are working to increase the throughput that we've talked about. So it's multifaceted, but I think the question in particular that you were asking is around structurally what have we done to work to improve the throughput on cash and in the project and solutions, it starts at the upfront with the customers, the timing of the milestones, then it's through the project management and key account managers that manage the project themselves and work closely with the operations. And then there's just an element also, I would say, of discipline and ensuring that this isn't something that happens on a weekly basis, it happens on an hourly basis. And all of those things together will support -- we believe will continue to support the sustainable cash generation that we anticipate to have.
Saurabh Pant: Okay, perfect. I got it. Okay, Jill, that's all I had. I'll turn it back.
Jill Evanko: Okay. Thanks, Saurabh.
Operator: There are no further questions at this time. I will now turn the call over to Jill for closing remarks.
Jill Evanko: Thanks, Joelle, and thanks everyone for joining us today. We look forward to hosting you on November 12th at our Capital Markets Day, and thank you to all of our Global One Chart team members for all of your ongoing efforts. Have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.